Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2011 Medical Properties Trust, Inc. Earnings Conference Call. My name is Pamela, and I’ll be your operator for today. At this time, all participants are in listen-only mode. Later, there will be a question-and-answer session. (Operator Instructions) As a reminder, this call is being recorded for replay purposes. I would now like to turn the conference over to Mr. Charles Lambert, Director of Finance. Please proceed.
Charles Lambert: Good morning. Welcome to the Medical Properties Trust conference call to discuss our third quarter 2011 financial results. With me today are Edward Aldag, Jr., Chairman, President and Chief Executive Officer of the company; and Steven Hamner, Executive Vice President and Chief Financial Officer. Our press release was distributed this morning and furnished on Form 8-K with the Securities and Exchange Commission. If you did not receive a copy, it is available on our website at www.medicalpropertiestrust.com in the Investor Relations section. Additionally, we’re hosting a live webcast of today’s call, which you can access in that same section. During the course of the call, we will make projections and certain other statements that may be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to known and unknown risks, uncertainties and other factors that may cause our financial results and future events to differ materially from those expressed in or underlying such forward-looking statements. We refer you to the company’s reports filed with the Securities and Exchange Commission for a discussion of the factors that could cause the company’s actual results or future events to differ materially from those expressed in this call. The information being provided today is as of this date only and, except as required by the Federal Securities Laws, the company does not undertake a duty to update such information. In addition, during the course of the conference call, we will describe certain non-GAAP financial measures, which should be considered in addition to, and not in lieu, of comparable GAAP financial measures. Please note that in our press release, Medical Properties Trust has reconciled all non-GAAP financial measures to the most directly comparable GAAP measures in accordance with Reg G requirements. You can also refer to our website at www.medicalpropertiestrust.com for the most directly comparable financial measures and related reconciliations. I will now turn the call over to our Chief Executive Officer, Ed Aldag.
Ed Aldag: Thank you, Charles, and thanks to all of you for joining us today. A year ago during our 2010 third quarter earnings call, we announced that we expected to do at least $300 million in acquisitions in 2011. With today’s announcement, I’m pleased to report that thus far, our total year-to-date acquisitions has reached $311.5 million. We closed two new properties during the third quarter, an $18 million investment in an LTACH in DeSoto, Texas, in the Dallas area, and an almost $13.5 million investment in an LTACH in New Braunfels, Texas near Austin. In both of these properties not only did we purchase the real estate in traditional sale and leaseback transactions with our normal rates and terms, but we also utilized our idea structure to make investments in the operating entities as well. Investments like this give us the opportunity to enhance our overall portfolio of return without changing our risk profile. Steve will go through this in more detail with you in a few moments. The DeSoto LTACH will be operated by Vibra, while the New Braunfels facility will be operated by Post Acute. In addition to those two properties, we’ve made two more acquisitions shortly after the close of the third quarter. Both transactions add to our growing diversity in terms of geography and types of facilities. One was a portfolio of three acute care hospitals with an emergency room focus to be developed in the San Antonio area. These properties are being developed by a company in Houston named Emerus which is new to the MPT portfolio and are being operated through a joint venture between Emerus and Vanguard, a publicly traded national hospital operating company. Our total investment in these three facilities is approximately $30 million. In addition to the Emerus properties, we closed on our Hoboken acquisition late last week with a total $75 million investment. This facility is a general acute care hospital in Hoboken, New Jersey and will be operated by an affiliate of the same group that operates our Bayonne, New Jersey hospital. The Hoboken facility is structured as a traditional sale and leaseback transaction with our normal rates and terms with an additional MPT RIDEA investment in the operations. Again, Steve will go over this in more detail with you in a few moments. With the inclusion of these most recent acquisitions, we have further improved our diversification in every respect. Our largest tenant now represents about 26.9% of our investments. Our largest investment by state, California, is now reduced to approximately 28.5%. And our largest property represents only 5.6% of our total portfolio. We continue to feel very good about our overall acquisitions pipeline and strategy. To that end, we have added Frank Williams, a seasoned Wall Street healthcare investment banker, as our Senior Managing Director of Acquisitions to augment the efforts of our existing team led by Maurice Arbelaez, a seasoned healthcare operator. The two disciplines of healthcare operations combined with healthcare finance have always been the signature strength of MPT. Despite the fact that the third quarter is almost always the weakest quarter in healthcare operations, our entire portfolio saw increases in EBITDAR coverage on a trailing 12-month basis third quarter over second quarter. This was also despite the fact that there were some pockets of declines in California and a couple of the more rural hospitals in the East Coast. On a trailing 12-month basis third quarter over second quarter, our acute care hospitals increased their EBITDAR coverage by 16 basis points to 7.94 times. And just to clarify, we show EBITDAR coverage which is after management fees. Our LTACH saw an increase in their coverage of 5 basis points and our IRFs saw an increase of 4 basis points. Year-over-year, each sector also saw an increase on a trailing 12-month basis third quarter over third quarter. The acute care hospitals saw an increase of 4 basis points to 7.94 times. The LTACHs, an increase of 38 basis points to 2.52 times and the IRFs an increase of 22 basis points to 3.42 times. At Monroe, we also continue to see significant improvement with hospital generating positive EBITDAR in 10 of the last 12 months compared to just four months of the prior 12-month period. At River Oaks, we negotiated a favorable final financial settlement with the insurance companies for our damage caused by Hurricane Ike. Due to the interest in the facility, we have significantly added to the renovations, which will make this facility one of the nicest facilities in Houston. Completion is now scheduled in phases beginning in summer of 2012, running through the end of 2012. I would now like to ask Steve to give you some more color on the financial performance of the company. Steve?
Steve Hamner: Thanks, Ed, and good morning, everyone. I’ll briefly run through the highlights of our third quarter 2011 financial results, then describe our outlook for future periods, and then we’ll open up the call for your questions. For the third quarter of 2011, we reported normalized FFO of approximately $19.5 million and adjusted FFO of approximately $19.8 million, or $0.18 per diluted share for both measures. As of the end of last quarter, we had estimated on a quarterly basis, our in-place normalized FFO run rate at $0.18 to $0.19 per share. But that estimate included revenue from our previously announced Hoboken investment. Because Hoboken did not close until last Friday, this quarter’s $0.18 per share is well in line with our run rate estimate. As a reminder, we normalized FFO by adding back the amount of deal cost. And in 2011’s third quarter, these costs totaled $529,000 or about half a penny per share. Also in this quarter, we added back approximately $10.4 million in cost to repurchase 87% of our 2013 exchangeable notes during the quarter. Net income for the quarter ended September 30 was $425,000, less than a penny per share, compared with net income of $8.9 million or $0.08 per share for the year ago period. Net income in 2011 was again affected by the $10.4 million in cost related to the repurchase of exchangeable notes. Weighted average fully diluted shares outstanding for the third quarter of 2011 was 110.719 million shares. As we just mentioned, during the quarter, we’ve completed a tender offer for any and all of our outstanding 9.25% exchangeable notes that are otherwise due in March of 2013 and we acquired about 87% or $71 million in face value of those notes. The $10.4 million premium we paid to acquire these notes results in the avoidance of approximately $11 million in interest payments through maturity and the avoidance of any dilution that may have resulted from conversion of the debt to common shares at approximately $12.36 per share. This morning, we posted to our website a supplemental information package that includes a summary of debt as of September 30, 2011. That schedule remains materially unchanged today with the exception that late last week, we borrowed $50 million under our revolver to finance the Hoboken transaction. Moreover, we expect to pay $9.1 million later in November to repay the balance of our 2011 6.125% exchangeable notes. Most of you will remember that in late June of 2010, we restarted our acquisitions activity after a year and a half of dormancy due to the global financial crisis. Since that time, about 15 months ago, we have committed approximately $500 million in healthcare real estate that is now under long-term lease, including about $60 million under development at September 30. The weighted average initial year lease rate on these investments is well within our guidance target of between 9.75% and 10.5% with a few outliers on both ends of that scale. As Ed mentioned earlier, we continue to successfully diversify our portfolio from tenant and geographic perspective as less than 25% of our investments since 2010 were related to Prime or Vibra. We expect to make future investments with both of these top operators but also expect to see further diversification over time. In addition, four of the 18 properties that we acquired since 2010 include arrangements that provide for MPT to own certain interests of between 9.9% and 25% of the operations of (inaudible). Our aggregate investment for this interest is approximately $10.2 million and we underwrite these investments to provide returns in the 20% plus range once the facilities are opened and stabilized. Moving to guidance. Historically, our policy has been not to provide estimates of future quarterly financial results. We have provided estimates of annualized FFO based solely on assumptions about a specific portfolio and that’s what we have done again this quarter. Based solely on the September 30, 2011 portfolio plus the Hoboken transaction and as if our Florence development project was complete, which we expect to be in the first quarter 2012, we estimate that annualized normalized FFO would approximate $0.76 to $0.80 per share. So taking into account the currently existing capital structure, which is expected to provide at least $330 million in available liquidity and limiting our overall leverage to less than approximately 50%, we would expect to invest approximately $275 million in future quarters. We believe the portfolio, after such investments, will generate normalized FFO of between $0.93 and $0.97 per share on an annualized basis once fully invested. This estimate continues to assume that average initial yields on the new investments will range from 9.75% to 10.5%. And we continue to believe we are able to complete these transactions before the end of 2012. These estimates did not include the effects, if any, of cost and litigation related to discontinued operations, debt refinancing cost, real estate operating cost, interest rate swaps, write-offs of straight-line rent or other non-recurring or unplanned transactions. They also do not include any earnings from the RIDEA-type transactions and investments that we mentioned earlier. And they do not include any revenue from releasing our River Oaks property. In addition, this estimate will change if $275 million in new acquisitions are not completed or such investments’ initial yields are lower or higher than the range of 9.75% to 10.5%. If market interest rates change, debt is refinanced, assets are sold or other operating expenses vary or existing leases do not perform in accordance with their terms. That concludes our prepared remarks for today. I will now turn the call back to the operator and she will open it up for any questions that you may have. Operator?
Operator: (Operator Instructions) And your first question comes from the line of Tayo Okusanya of Jefferies. Please proceed.
Tayo Okusanya – Jefferies: Yes. Good morning, everyone. Just a couple of questions. In regards to the normalized guidance range the $0.93 to $0.97. When you take a look at your acquisition pipeline today on the $275 million that’s built into that number, how quickly do you actually think you might be able to get there? Are we talking a year out or we talking 18 months out?
Steve Hamner: Well, actually, what we’ve said, I think, is that we’re highly confident we’ll have that done by the end of 2012. But if you go back again and look at when we restarted our acquisition activity in June of 2010, we’ve done about $100 million per quarter on average. And so if you expect as we have some level of confidence that we will retain that investment level velocity, then the hope would be that it would be actually before the end of 2012.
Tayo Okusanya – Jefferies: Got it. Okay. And then the second question, I know you guys don’t have a lot of leases rolling over in ‘11 or ‘12, but all the public hospital operators this quarter were all basically talking about a weaker volumes outlook. I’m curious how that’s impacting your business, number one. And then number two, just kind of given that backdrop, why you feel it’s the right time to kind of have these TRS-type structures with these new acquisitions that you made? Is there anything different about those particular operators, just kind of given the overall industry feel of weaker admission volume?
Ed Aldag: Well, Tayo, the weaker admissions that you’re referring to is not universal. All of the publicly reporting operators out there have not seen weaker admissions. We feel very good about where all of our hospital operators are. As I said earlier, they all have had improvement in their EBITDAR. They’ve had improvement in their utilization with the exception of a couple of pockets in California and a couple of rural areas. But overall, we feel very good about a lot of the low hanging fruit that’s out there and some hospitals that we’ve made these investments in where we believe that the operators that have been operating them have left a lot of low hanging fruit on the table.
Tayo Okusanya – Jefferies: Okay.
Ed Aldag: And so we believe that these investments will prove to be very strong for us.
Tayo Okusanya – Jefferies: Okay.
Steve Hamner: Tayo, to address the first part of your question, we really have less than a handful of leases maturing in the next 24 months. I think we’ve announced that two of those we expect to result in repurchases at certainly no loss to us. And one of the others has recently notified us that they intend to extend. So we really have a very limited exposure to rollover risk in the near future.
Tayo Okusanya – Jefferies: Okay. That context was very helpful. Thank you very much.
Operator: And your next question comes from the line of Jerry Doctrow of Stifel Nicolaus. Please proceed.
Jerry Doctrow – Stifel, Nicolaus: So, just a couple of things, I guess and I apologize because I haven’t really spent much time this morning...
Operator: (Operator Instructions)
Jerry Doctrow – Stifel, Nicolaus: Hello?
Operator: And please continue, Mr. Doctrow.
Jerry Doctrow – Stifel, Nicolaus: Okay. Sorry. So, I haven’t digested your balance sheet, but I kind of wanted to go back, given your projected acquisition levels and that sort of thing, how are you thinking about accessing additional capital sort of outside the debt markets as you go forward? So are we thinking another convert? Are we thinking common equity unsecured? Just you gave some guidance that you want to be 50-50 debt-to-equity and I was just thinking about talking about the $275 million kind of target level, maybe even what’s the assumption in your guidance about accessing the capital markets?
Steve Hamner: Well the assumption in the near term with respect to that $275 million is we have the capital. And that does get us to kind of what we think is as a soft ceiling of 50%. Actually, we have always operated, traditionally operated at significantly below that in the low 40s and that’s our intent in the future. With respect to the next tranche of capital that we get, there are alternatives to common equity that will be available or not at the time we need that. These include sales of properties, secured debt and you mentioned converts, although we’ve got no plans at this time to get back into the convert arena. It’s really it’s hard to answer until you get to the point where you actually go out and start planning to raise the capital and at that time of the market determines to a great extent what’s available to you.
Ed Aldag: Jerry, the good news is that we have all of these avenues available to us now. We all know that the markets have very narrow windows right now. So when we get ready, at that particular point, we’ll analyze exactly where we are and choose the right one.
Jerry Doctrow – Stifel, Nicolaus: So in terms of funding the $275 million, it’s base cash on hand and use of the line as well as I know you said you got some asset sales perhaps coming. So that gets you there. And then you would see what’s available when as you kind of go forward. Is that...
Ed Aldag: That’s correct.
Jerry Doctrow – Stifel, Nicolaus: Okay.
Steve Hamner: That’s right. And keep in mind, although I’ll reiterate, we don’t have any plans at this time for anything specific. We are continuing to invest at an average initial yield in excess of 10%. So it gives us perhaps more flexibility when you start talking about common or other types of equity than if we were investing at significantly lower rates.
Jerry Doctrow – Stifel, Nicolaus: Okay. And when you give your $0.90, whatever it was, $0.93, $0.97, is that assuming basically that everything stays on the line, so that if it was refinanced either termed out of the debt or equity, the numbers would change from that level?
Steve Hamner: No, it assumes the current line rate.
Jerry Doctrow – Stifel, Nicolaus: Okay, okay. And Steve, one of the things you didn’t mention was just term unsecured debt, so you would probably do – on the – in terms of terming out the debt, you would more likely be with a kind of a bank term loan or some sort of secured term loan rather than trying unsecured?
Steve Hamner: No. I didn’t mean to imply that because actually right now, with the exception of the revolvers, we’re completely unsecured.
Jerry Doctrow – Stifel, Nicolaus: Okay.
Steve Hamner: And that again, depending on the markets which happen, right now, to be fairly widely open for additional unsecured if we wanted to go that route. The exception would be if we actually termed it out with what I’m really thinking as secured would be mortgage debt. And there are growing opportunities and a growing market for that.
Jerry Doctrow – Stifel, Nicolaus: Okay. And then let’s see, the only other thing I guess just wanted to ask a little bit broader question about sort of reimbursement, obviously, we’re kind of a week, 10 days away from the Joint Select Committee doing or not doing recommendations. We’re starting to see a little bit more chatter in the newsletters about them particularly acting. So as your pricing deal is today, I mean what are you sort of thinking about in terms of the reimbursement environment? Is your sense just you’re getting enough lease coverage that whatever happens you guys can absorb? Or how are you thinking about that or are you waiting maybe till you get a little bit more clarity at least at a Congress here at year end before committing more capital?
Ed Aldag: I don’t think we’ll have any more clarity out by year end, Jerry, than we have right now. We feel very comfortable overall where we are in our particular properties. In the acute care hospital, we went through this earlier in the summer what it would look like. If we had a 10% cut in our Medicare reimbursements and all these assume that our operators don’t make any adjustments. And you’re right, we feel very good about the coverage of our current portfolio. So what are we doing on a going forward basis? On a going forward basis, we’re assuming that we’re not going to have any increases that in some instances, we’re assuming as much as a 5% decrease and still getting comfortable with our underwriting at that particular point.
Jerry Doctrow – Stifel, Nicolaus: Okay. And for some of the ones like Hoboken where they might be more exposed to disproportionate share or the medical education or some of those other things that are kind of (inaudible) about. Even there you don’t think you’ve got any real concerns on the reimbursement side?
Ed Aldag: No.
Jerry Doctrow – Stifel, Nicolaus: Okay. All right, that’s all from me. Thanks.
Ed Aldag: Thanks, Jerry.
Operator: And your next question comes from the line of Michael Mueller of JPMorgan. Please proceed.
Michael Mueller – JPMorgan: Great. Thanks. A couple of things. First of all, can you walk through the timeline for some of the developments? I think you mentioned Florence coming online in the first quarter. But the ones you announced today, when should we expect to see them begin to either break ground come online impact earnings?
Ed Aldag: Sure. Well, they’re in the process of breaking ground now, Mike. But they’ll take approximately 14 months to complete.
Michael Mueller – JPMorgan: Okay. Okay, great. And then with respect to the RIDEA investments, is any of that income flowing through the income statement today?
Steve Hamner: There is immaterial amount for our first two RIDEA-type investments. Those were Covington and Bucks. But other than that, truly immaterial amount. There’s nothing in the income statement for the operating income today.
Michael Mueller – JPMorgan: Okay. And how should we think about the thresholds for what has to happen before you start to recognize that income?
Steve Hamner: Well...
Michael Mueller – JPMorgan: I’m sure it probably varies by deals so.
Steve Hamner: It does. It varies by deal to some extent. For example, Bucks truly does have thresholds and ceilings. The others, in each case, the other five I think we have percentages of 9.9% to 25%. There are no thresholds. We participate to the extent of our ownership interest in dollar one of profitability.
Michael Mueller – JPMorgan: Okay. And then last question following up on Jerry’s question, going back to the $0.93 to $0.97 guidance after $275 million in investments. When you hit that 50% threshold, is it ideally the plan to kind of pull it back down to that 40% range where you’re a little more comfortable? Or you’re – it sounds like you’re comfortable for running at 50% is a plan to stay up around 50%.
Steve Hamner: No, we are comfortable at 50%. We’re highly comfortable. But that being said, our plan is to operate it in kind of our traditional range which is low to mid 40s. There’ll be no immediate urgent requirement for us to get it below 50%. So we’ll be able to select the market at the right time. But we don’t intend to start growing the leverage level.
Michael Mueller – JPMorgan: Okay.
Steve Hamner: From what’s traditionally we’ve had.
Michael Mueller – JPMorgan: Got it. Okay, thank you.
Operator: And your next question will come from the line of Frank Morgan of RBC Capital. Please proceed.
Frank Morgan – RBC Capital: Good morning. A couple of questions. First on the use of RIDEA, is that more – does that help you win deals or is that something you want to do because you see the opportunity of catching the upside in the operations? That would be my first question.
Ed Aldag: It’s the latter, Frank. It’s not helping us win deals. It’s not prohibiting us from getting deals. I know you haven’t been with us from the very beginning, but combining the operations and the real estate have been part of the MPT story since the very beginning, and RIDEA just lets us do that a lot easier.
Frank Morgan – RBC Capital: I got you. And then secondly, I was interested in your new relationship you got with Vanguard. I was just hoping you could expand on that. Are there other opportunities that you can pursue with them in some of their other markets or do you think this is more of a one-off? Thanks.
Ed Aldag: Right now, it’s probably more of a one-off. It’s a joint venture and our relationship is primarily with the Emerus Group which has the relationship with Vanguard.
Frank Morgan – RBC Capital: Okay. Thank you.
Charles Lambert: Operator?
Operator: Yes, Mr. Morgan your line is open.
Frank Morgan – RBC Capital: My questions were answered. Thanks.
Operator: All right. Great.
Ed Aldag: Any more questions operator?
Operator: Ms. Ford your line is open.
Karin Ford – KeyBanc Capital: Hi. Good morning.
Ed Aldag: Hey, Karin.
Karin Ford – KeyBanc Capital: Just a clarification on River Oaks, does it sound like rent will now start flowing there starting either in the summer or towards the end of 2012 versus sort of the beginning of 2012 previously because you added to the renovation?
Ed Aldag: That’s correct. In the summer of 2012 now, we’ve made a decision with one of our new tenants there to totally renovate, to totally gut and renovate the operating floor, the Ors. And so that’s what the delay is.
Karin Ford – KeyBanc Capital: Okay. And is the lease with that tenant signed today?
Ed Aldag: No, it is not.
Karin Ford – KeyBanc Capital: Okay. Second question is just on the San Antonio developments. Can you just talk about – you said it’s a new relationship, a new tenant for MPT. Can you talk about how you underwrote their credit and what their track record is on development? And will rent start flowing on that upon completion 14 months away?
Ed Aldag: They’re actually an experienced company. They’ve got a number of other properties that we were able to look at and see how their operations are going. They’re actually backed by a Texas venture capital firm. So they have got a good balance sheet, good experience. So while it’s a new relationship to us it’s not a brand new company. And then obviously with the joint venture that they formed with Vanguard, the Baptist System there in San Antonio, it helped out an awful lot. Now, what was the last part of the question? When will the rent start?
Karin Ford – KeyBanc Capital: Yeah.
Ed Aldag: Yeah, the rentals will start at the end of construction completion.
Karin Ford – KeyBanc Capital: Okay.
Steve Hamner: There’s no ramp-up on the rents (inaudible).
Karin Ford – KeyBanc Capital: Got it. And last question is we had seen in some of the local newspapers here in New York that Prime Healthcare was looking to try to buy a hospital in Jersey City, Christ Hospital. Would MPW be involved in that acquisition if Prime made it?
Ed Aldag: We’ve not been asked to at this time. So I acknowledge that is the same as yours is what we’ve read in the newspapers.
Karin Ford – KeyBanc Capital: Okay, great. Thanks very much.
Operator: And our last question comes is a follow up question from the line of Tayo Okusanya of Jefferies. Please proceed.
Tayo Okusanya – Jefferies: Yes. Just a quick one, I may have missed this, but did you actually provide the most recent coverage ratios across the portfolio?
Ed Aldag: I did, Tayo, and I went through that in detail. So if you call back off-line, I’ll be glad to give that to you again.
Tayo Okusanya – Jefferies: Will do. Thank you very much.
Ed Aldag: Okay.
Operator: And with no further questions in queue, I would like to turn the call over to Mr. El Aldag for closing remarks.
Ed Aldag: Well, thank you, operator, and thank all of you again for listening. And as always, if you have any questions don’t hesitate to call Charles Lambert, Steve Hamner or myself, and we’ll be glad to get those answers for you. Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect and have a great day.